Operator: Good day, ladies and gentlemen, and welcome to the StageZero Life Sciences' Third Quarter Financials Call. All lines have been placed on a listen-only mode, and the floor will be open for questions and comments following the presentation. [Operator Instructions]. At this time it is my pleasure to turn the floor over to your host, Rebecca Greco, Head of Investor Relations. Ma'am, the floor is yours.
Rebecca Greco: Thank you operator. Good morning, everyone and thank you for joining the StageZero Life Sciences third quarter 2022 earnings conference call. Joining me today is StageZero Chairman and CEO, James Howard-Tripp. Please note that management’s discussion today will contain forward-looking statements about anticipated results and future prospects. Forward-looking statements involve a number of risks and uncertainties, and StageZero's results may differ materially from those discussed today. Investors should consult the company's ongoing quarterly filings and annual reports for additional information on risks and uncertainties relating to these forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The company disclaims any obligation to update these forward-looking statements, except as required by law. On today's call, management will refer to non-GAAP adjusted EBITDA. This metric excludes certain items discussed in our press release under the heading, Discussion of Non-GAAP Financial Measures, and any other items that management believes should be excluded when reviewing continuing operations. The reconciliations of StageZero's non-GAAP measures to the comparable GAAP measure are available in the financial tables of our financial results press release on StageZero's website. With that, I would like to turn the call over to James Howard-Tripp, StageZero's Chief Executive Officer. James, please go ahead.
James R. Howard-Tripp: Thank you, Rebecca and good morning, everyone. Thanks for joining us. Q3 was a good quarter. We're actually very pleased with it. It has us pointing in the right direction and a tremendous number of opportunities that have started. And what we will do is we've chosen to actually walk you through the presentation that we give to employers because I think that's where the bulk of the interest is but what we will do is we will explain the quarter, so we actually work through this because that actually makes a lot more sense. If we look at who it is and what we are, I think a lot of people on the call today know who we are, but as we're finding we need to pitch to those people who don't know who we are. And so we're doing a lot more in terms of explaining who we are, what it is that we do, why we have advantages, and how it plays out. And it's actually working really well. The fact that we're pioneers in liquid biopsy is replaying -- is becoming really, really important because we have developed technology, it's in place, it's been there for 20 years. We've been working on it for 20 years. We've done well over 100,000 commercial patients as we've gone through. We've published on that. All of that has really worked.  When you look at Aristotle, I think the benefits of Aristotle are becoming more and more evident the further we go down this and that too is playing out. And so we're getting requests to not only do primary screening, but we're doing requests to actually be the backup to other screens as they go through where they want to get specific in terms of where it is and so it's opening up very, very nicely. I'll explain more of this as we actually work through the full presentation. The fact that we're CAP accredited and CLIA certified as a high complexity lab is very important. It's the highest accreditation you can get for a lab in the U.S. and it stands as well. We recently completed our CAP ordered, we not only got through with flying colors, we actually were highly commended for how well we do things. So it plays well, it allows us to do a lot of things that some other groups can't do.  We have world class clinical and scientific group around here, some were present not only in North America but also in the UK. We have a presence in the UK, we will likely, I'm sorry presence in Europe. We will likely expand beyond that in the next little while and this plays out. We recently were presenting it a Symposium of Neuro Oncologists. This was by invitation, it was around our glioblastoma data, and it was well received. In addition to that at the end, people were asked if they would work with us on a go forward basis, particularly looking at expanding and enhancing the data that we have and we've got a very positive response to that. From that we're building out into a variety of additional groups of not only in Europe but also in North America as to how we look at what we can do and so we can expand on this. Instead of us, I'm going directly to patients, which is a lot of what we have been doing. We can now work with the clinics, with the healthcare groups, we can work on a referral basis, we can work with standard of care. That puts us in a very different ballpark to where we have been before and that opens up opportunities in a very major way.  The other piece that placed all of this is global telehealth. If you don't have a global telehealth platform, you're just not in the game. One advantage is everyone knows as we moved to that very early, but it has continued to play out as we move on through this and it plays out hugely when it comes to employers and employers is going to be the main focus of what we talk to as we go through this now. So what is -- what is the issue, what is the problem that it is that we're trying to address and why would we want to be talking to employers, well let's have a look at it. If we focus just on North America, there's about 1.9 million Americans and about 200,000 Canadians that will be diagnosed with cancer this year. About half of those will be diagnosed in the later stages. So in other words, more towards when it's symptomatic, people present with that. It's a much bigger issue since COVID because as we saw during the COVID time period, we actually had a lot of screening in some areas that went down by nearly 96%. There was very little going on for all the very obvious reasons in that. As a result we're getting what is being described as a tsunami of late stage cancers coming forward. What everyone's going to is, yes, we've got to deal with that, but much more importantly we have to get to it earlier. We absolutely have to get to it earlier and I will explain all of that as we move forward here. As a result, cancer is now the number one catastrophic health claim for self-funded health plans. And so a little bit of explanation as to how this works. You'll see in this slide further on that about 64% of employees in the U.S. and this is U.S. data specific are covered by self-funded health plans. We have a health plan for our own company. We have a relatively modest number of employees but even with that we're continually pitched by the healthcare plans to -- in an actual fight to move to a hybrid part insurance, part self-funded. The reason you do that is that it typically reduces your cost and bear in mind that the cost of insurance at the moment are sky high and they are just continuing that way. So everyone is looking for ways to minimize costs. As a result of that, you move to self-funded as much as you can and there are over 100 million Americans that are within self-funded healthcare plans. Therefore, managing costs is absolutely paramount.  When we look at the size of the national economic burden of this, it's mind blowing. It's 150.8 billion. That's a staggering amount of money through finding cancer late, through missing it, through not finding it early, through not intervening earlier or actually heading it off. In addition to that, when you come to the actual patient burden, patients are two and half times more likely to declare bankruptcy if they have cancer. It is, I believe the number one reason that people declare bankruptcy in the U.S. So being able to minimize that burden, being able to hopefully cut it off at the pass is absolutely critical. So if we look at, sorry, just waiting for this slide to advance. If we look at the life-saving benefits of earlier detection, we've talked about this before and I think this is one of the slides that typically absolutely takes people's breath away. You can see that if you find cancer early, your five-year survival rates are typically up around the 90%. Stomach and liver are obviously different, but with the rest of them you're in the 90%. When you go to five-year survival rates for late stage cancer, you drop dramatically. The highest we can see is a 31% survival rate, but it goes all the way down to 6%. You have to find it early. It just absolutely reinforces this. You have to find it early.  What is the cost associated with this? Well, the cost of finding cancer late is two to three times that of finding it early. If you look at the numbers there, it absolutely bears a doubt. And so this is the advantage of doing it. It's the advantage again, go to self-funded plans. You'd much rather be paying 46,000 for example than 130,000 or 80,000 versus 156,000. And never mind the economic disadvantage of having the individual not being at work, not being able to perform properly, all of the -- aspects that run with that. So it is critical that even from an employer perspective that one, you not only look after your employees; but two, you actually help find cancer earlier, you reduce the cost, and you improve the outcome.  So how do you do this? Well, we do this through early interventions and I'll explain a lot of this in great detail as we go through because having the setup that we have which one is with Aristotle, which essentially is cancer today through the overt metabolic pathway panel, which essentially is looking for cancer tomorrow is how that works. And then obviously if you have cancer, we can put you into the TREAT programs, which is the adjunctive program looking for improved outcomes. But the overt side actually is the preventative aspect as well and we'll talk to the fact that you're better than 40% of cancers appear to be fully preventable if you have the right strategies. Aristotle and we've talked a lot about Aristotle during the years. Aristotle addresses today's cancer and earlier. And so one of the key things I think everyone knows that we have validated on 10 cancers, we actually screen right now from nine of them. We do little on the nasopharyngeal side because there is actually no particular need for it right now or no very defined need for it. So we'll focus much more on the others. We are bringing up lung, we are bringing up pancreatic, we are bringing up glioblastoma as we're looking at these because that's where we've had requests for it. In addition to that, we're going deeper in the colorectal cancer space as we've talked about where we're separating out and being able to report early stage versus late stage. All of these are extremely beneficial. But the key thing with this is that not only can we find the cancers, but we can find them early. We can truly find them early. We are equally as good, in fact marginally better at finding early stage cancer than we are at finding late stage cancer. That is how you would want the test to be designed. Late stage cancer very often presents symptomatically and what you want is the very early stage cancer.  As we're finding patients with cancer or we're indicating that they may have cancer I would like to use my words very carefully here then putting them into follow up programs is important. One might remember that we worked with a lung cancer program some years back and the key thing was that is that initially we were seeing positives on the cancer and they were then running them through low dose CT. They were not immediately reporting a correlation and so there were questions about what was going on. We put those patients into two year follow-ups and what we saw sequentially over the two years as we tracked them every six months, put them through low dose CT and every six months as the cancers grew to being large enough to be detected by the current sort of confirmatory processes, we saw the cancers appear. We fully expect some of the same thing to happen with Aristotle as we go through. If you get a positive on our test, it's indicative of the fact that with a high probability you would likely have that cancer. You need to be fully worked up by all of the normal methods in terms of defining that. And remember the confirmatory diagnostic is always the piece of tissue in front of the pathologist, the pathologist that will call as to whether you have cancer or not. Everything else is all of us helping to get to that point. Therefore, because we find cancer early, we will look at it and we have had people and within the process come back and say, well, there doesn't appear to be anything there. We've had them go back and look. We've had them do follow-ups and yes, in a good number of instances, we are seeing exactly what we thought was there in the first place.  So, we will build this data. This is very important as I go further on in the presentation. So Aristotle is really important, addresses today's cancer earlier. It's novel, it's unique, it's pretty much the only test that's out there that's discrete to the cancers. In addition to that, it's also pretty much the only test out there that actually finds cancer in its very early stages as well as late and can run it through. I'll move to the next program tied to this, which is AVRT and so AVRT was the metabolic pathway panel addresses tomorrow's cancers today. So why would you want to offer both of these programs and so bear in mind that you're the employer, we're talking to you about this right now. You have -- you're a large employer so you have 500 employees plus bearing in mind you might have 30,000 or 40,000 employees. Why would we want to do this. Well again, look at the issue that we're trying to tackle. The first thing is we want to know whether your employees have cancer today. If we determine that and particularly if we're finding cancer in the early stages, the survival benefits and the cost benefits, we've absolutely shown in terms of where it is. What about the potential for developing cancer tomorrow and if you had one of our metabolic oncologists on the call, he would like you, he or she would likely walk you through the fact that virtually all cancer is as a precursor has a major disease. That major disease invariably has a metabolic pathway that leads to it and so we drive through it. If we examine those metabolic pathways and we flag what is going on and I will show you the next slide of this, we can determine where your risk is. And so the intent here is it says the goal is to get to green, but we will look at your absolute cancer risk and then we will look at interventional programs, which is the other part of what our organization does to help you go there.  But bear in mind at the same time what we're doing is we're also flagging a whole series of other areas. We're flagging your inflammatory aspect, your immunity aspect, but we'll also do cardiovascular health, liver health, kidney health, we will also do metabolism and metabolism is huge. And if we go to metabolism as an example, narrow it down to metabolic syndrome, from there narrow it down to insulin resistance. Insulin resistance plays a huge role in all that we do and particularly in the development or the management of a large number of diseases, notably cancer. And so if we move to our TREAT program, if you take chemo drugs, for example can knock your insulin resistance out of whack. As a result of that, that makes the actual standard of care drugs less effective. If we balance that out, we bring it back into proper range, we work with your standard of care team, that is exactly part of the reason that we get better outcomes as we work with these individual patients. And so this is a lot of what we're doing.  So tie it together now as we go through and I'm going to jump a slide here. Look at the process as we take it through and so our process is the difference. So we would come to you and we would say, let's take your 5000 or 10,000 employees, let's put them through the screens, the joint screens, one Aristotle, which as we said is cancer today, finding it early. The other is the metabolic pathway panel, which is essentially cancer tomorrow. And what we do if we find is you look at this slide on the left, if you have a positive cancer signal, then because we are a clinic group, because we have telehealth, we can help work with the individual employee in order to get them handed over to their primary care system so that they can get fully worked up, triaged and managed.  Should they have cancer, they always have the option to come back in and tie in together with the standard of care team to us with the TREAT program and we will get to manage them along that pathway as well. If they have a negative cancer signal, that's good. What they do is they move on to coming back to do their next round of screening, which one presumes might be in a year's time. But what we would also do is presume that they will stay current with U.S. PSTF recommendations as it drives through.  We would also run the metabolic pathway panel on them and the metabolic pathway panel as I flagged would look at the status notably towards developing cancer but also looking at a multiplicity of different chronic diseases that make up that pathways that drives through and should the individual flag anything other than red from bearing in mind that about a third of U.S. adults are regarded of as having metabolic syndrome in one way or another, notably as a part of it is due to obesity, but it's a matter of managing that. They then are able to look at risk modification programs. We offer risk modification programs as well, so we can intervene. This is under oncologist, metabolic oncologist supervision as we would drive it through. And so we dovetail all of this and this of course is done via telehealth again or that's why that is so critical. So these are the pieces that drive as it pulls it through. Let's look now at what the value proposition is and the market opportunity. So we'll walk through a series of case studies. First is looking at the size of the opportunity. Employer sponsored insurance covers approximately, I'm sorry, I'm struggling to actually just see that number, but I think it's 157 million people, that is huge. Within that as you come down to employees that are purely in the self-insured plans, that's about 100 million individual workers. 64% of the employed group and it's the largest group of self-insured or in companies with 500 more employees. So it's a very defined group we can go at. It's a very large group we can go at. This is the group that we were working with during COVID. This is a group we know. This is how it ties back through a variety of programs. Bearing in mind that the back behind an employer is a reinsurance company. Reinsurance companies also work with the insurance companies. Think about screening the employees -- sorry or prospective policyholders with the kind of tests that we have and you can see exactly where all of this is developing. It has tremendous benefit.  Take the insurance side just for a moment. Not only would we screen them with Aristotle, which is cancer today, we would screen them with the metabolic pathway panel which is cancer tomorrow. Bear in mind we're going to flag if there are other major chronic diseases that are there as well. We then also offer risk modification programs. All of that reduces risk, all of that is of very high interest to insurance companies as well as the reinsurers or the employers. So it plays out in all these levels. We are talking with and working with all of these groups. The case study that we put together was looking at the benefits of treating early stage breast cancer. And if you look at this, it's actually if you run the numbers just blank as they are, it's about a 58% reduction in cost. This is off of 1000 employees and it's running through. Now bear in mind that we need to factor in the cost of the tests with all of this so clearly it's going to be somewhat less than that. But most of these groups look for a cost reduction that's in the 1% to 2%. If you can give them cost reductions that's in the double-digits, it typically is of huge importance to them. When you begin to build it up even in advance from that, it's there and bearing in mind what we talked about with Aristotle is that it finds cancer early, think about what the metabolic pathway panel does too, it's doing a lot of the same thing. It's the indications early as people begin to walk down that pathway. What you can then do is you can offer the interventional programs.  So all of this just continues to add up and so if I walk through this, you also sample female population of 1000 patients, they've got about a 12.9% lifetime risk of developing cancer, so that would give 129 for the record. The number of them are caught by mammography is typically about 65%. But bear in mind that mammography is less effective in women with dense breasts, and therefore the number is potentially higher than this because of the dense breast issue. You run it on down through it quickly with about 35% of this group undiagnosed. That would be 45 women. You look at the treatment cost in stage one, which is about 56,000. You look at the treatment cost in Stage 4, which was 133,000. You multiply it by your group of 45 and you see that your cost of treating late stage is nearly 6 million, your cost of treating early stage is about 2.5 million, it's a savings of about 3.5 million just based on that. This is just one cancer, this is breast cancer. You can run the same analysis across the other cancers as well and bearing in mind that we're screening for multiple cancers at the same time. The cost savings are immediate and are extremely evident. We're going to talk through what we're doing in Ontario right now. And so I think people are aware of the fact that we're working with the firefighters across multiple jurisdictions. And so, we put together -- put it together as a case study so we can explain it and take it through. So when we were initially approached on the Ontario side, it was the health and safety group that came to us, and they had a series of issues that they were looking at specifically within Ontario, but it relates to a lot across cancer, sorry, across Canada as well. And they said, could our programs, one of our programs or all of our programs possibly help with this. The answer to that is yes.  So how is that; first of all, a study that was done in British Columbia a couple of years ago showed that 80%, sorry, 86% of all claims for firefighter work related deaths are from cancer. Just let that sink in a little bit, 86%. The U.S. runs a slightly different way of looking at the data, but in the U.S. they talk to the fact that about 66% of all deaths, job related deaths for firefighters in actual fact are due to cancer. In the U.S. it's actually mandated that firefighters get screened for cancer every year and we are screening. Right now as we talk about it we are screening groups of firefighters in the U.S. However, we have been screening firefighters in Canada. So there's a large number.  If we look at Ontario alone there are 11,000 full time and 19,000 volunteer firefighters in Ontario. It's about 30,000. The questions they had is, who's most at risk? If you look at how they're looked after, how they're compensated, typically it's sort of age 50 or older. Typically, it's 10 years’ worth of exposure, 10 years’ worth of service is, I think is what people have thought is where people are most at risk. There's a lot of data now that's coming out that shows that's not correct. We're seeing cancer in much younger people. We're seeing cancer in 30 year olds. It's not only in the firefighter population, we're actually seeing this as a rise across all population groups.  If we moved to our care oncology group, we are treating large numbers of very young people for cancer right now across all cancers, colorectal, breast particularly, but we are getting prostate. We're getting a variety of different cancers. So cancer for some reason is appearing in younger individuals much more frequently now than it used to. When you move to being a firefighter, you're clearly at more risk and bear in mind in the U.S. we're actually screening more along the first responder line. So it's not just firefighters, it's police and ambulance as well. But they all have increased risks of exposure.  So what Ontario wants to know is, okay, who's most at risk? Is it age related? Is it duration of service? If it is exposure, are you equally at risk if you've had less than five-years or more than five-years of service in the fire system or is it 10 years or more? And, I think we're beginning to help answer some of that. What about additional occupational exposure, and we seeing a lot of this in the U.S. but we are seeing it in Canada too. People are coming out of military service, and they have been in what’s called the [indiscernible] in Afghanistan, where they were exposed to high levels of toxic chemicals. They're coming out, a lot of these people joined the fire service and so they're carrying over some existing risk that was already there. How does this make a difference, from there we also want to look at different fires. One of the things that's always been there, if there's a particularly nasty chemical fire, and 5 or 10 years down the road, people started to get an increased risk of cancer. Is it because of that kind of exposure? We've not been able to measure this. We've not been able to look at that. And, on the Canadian side, there is no mandatory cancer screening program. The question is, should there be. And we know what the early cancer detection benefits are, we know the survival benefits, we know the cost reduction, can we quantify these. And then the final thing that we want to do is to look at aggregate reporting across Ontario so that we can look at different regions, we can look at different fire holes, we can see the effectiveness of some of the training. We can see the kind of fires that they've been exposed to. All of this helps because if you disaggregate, sorry, if you aggregate the data but you de-identify the data, it actually helps. And so these are the pieces, this is the program that we put together and we are in actual fact in the process of walking through in Ontario right now.  our solution to this is to do the following. Aristotle, we will test people with Aristotle because as we've talked through that's cancer today. We will use the AVRT metabolic pathway panel while you're developing cancer tomorrow because that allows us to look at all these additional factors bearing in mind as we talked about development of the various diseases. We're particularly focused into those leading to cancer, but obviously we are going to gather all the other pieces as well. We also have the risk modification programs that we can put in place should it be there. And so we are doing that. It is oncologist supervised as we take it through, it's done by a telehealth with our group. It is linked with the medical community within the firefighter service, all of this back up in through province as well. And, we will all learn from this.  In addition to that, there'll be a health economic aspect to this as we analyze all of it and present the data back. We will also get the aggregate reporting and the approach that has been taken is rather than the individual halls doing bit of it, we want this to be a multi-year program, literally stretching out over the next many years. This is where the true benefit is. This is where the true data is gathered. And so it has been taken to the various city budget groups by the health and safety committees for funding to do this on a multi-year basis. We're beginning with these programs now. So I think, I think you can see where it is.  So now let's just drop to for example revenue that was done during the quarter. The revenue that we had was 0.8 million. That in itself is a nice start, but at least it's moving in the direction, the right direction. More importantly is if you look at the fact that attached to that is the deferred revenue piece, which is about another a hundred thousand. And then as commented in the press release, we're doing significantly more Aristotle testing than is being reflected in the revenue. This is because we have a delay in the time period between which the tests are processed internally, they're actually invoiced out, and then we're able to collect on the money, so it runs through. So this is going to take us a few quarters until we've actually got all of this ironed out, but it'll straighten out and we'll then be able to report. The key thing is, as all of these programs are up and moving and we're pulling more and more people into it now is we're pointed in the right direction that's moving through.  I think the other thing that's important too, if you look at our cost basis, you'll see that our cost basis has come down quite considerably. It'll come down even further during Q4. I think as people know, we're typically a little ahead of the curve in what we do. We were looking back in April at where we thought the world was going, where the markets were going, and we started actually to begin to pay back costs as much as possible. So that in actual effect, we're in very good shape at this point from that perspective. We're the right size, we're ready for growth, we will be adding a few people as we move forward notably on the commercial side as we build it out so that we can adequately deal with all of that. But it is the growth aspect as we move through. We have also put firm plans on the table or a break even analysis as to where we want to be by when and we will share more of that obviously as it comes to realization. So in summary on this, our focus is very strongly on employer groups and together with the employer groups, firefighters or employer groups for example, large companies or employer groups, medium size or employer groups, anyone with 500 employees or above actually is a really good target for us. There are very large numbers of these, as we pointed out at something like 60% of companies fall into that range. Sorry, the employees -- 64% of the employees fall into that grouping. So it's a really large number. Two, we're not only approaching them, we're getting deals, we're starting with those, we've initiated testing, it is building, it is taking us in the right direction, and it should continue to grow from there.  Additionally, I think we markedly reduced costs. I should just add at this point that it's all about timing as well. We couldn't have done this a year ago. Everyone was fully focused on COVID. Coming out of COVID everyone had to refocus their business as to where they go and it's literally only over about the last six months that we've really seen a much higher level of interest to people to get back to business as normal, which means actually screening their employees. So everything has to work according to the business cycle and the business cycle for us is right at this point. We will markedly reduce costs for employers, we will markedly improve employee five-year survival rates if we can get to them and we can find it early. If 40 plus% of cancers are avoidable with the risk modification programs, we have the risk modification programs and that is a critical piece with this.  Employers don't just want you to have a test that says one of their employees may or may not have cancer. They want you to have an ability to triage those patients and to actually hand it off to the usual medical care, whether that's primary care or specialist care, you need to be able to manage that aspect. You need to be able to do it via telehealth because you've got to be able to reach people everywhere and you've got to have very knowledgeable people. Within that ideally, oncologists, which is exactly what we have. In addition to that, excuse me, in addition to that, you have to have or ideally will have risk modification programs that they can then apply. We have that proven data driven, becoming even more data driven as we move down the path with it. And so all of that works for us. We can actually bring them the solutions thereafter. It's a very strong part of the reason as to why we organized and why we built the company the way it is. I think as we've talked about, companies with 500 plus employees are absolute target at this point. The case study in breast cancer is just one. You look at the size of the cost avoidance. It is huge. As I mentioned, if we can do double-digit, adjust into double-digit, we will absolutely get everyone's attention. We can do better than that. And I think that is part of what drives through here. And then don't forget Aristotle screens for multiple cancers, AVRT highlights multiple risk factors. The two together are very unique and are in actual fact part of what it is that makes us special. I think in fact at this point I can hold and we can take questions. Rebecca, do we have questions?
Rebecca Greco: Yes. Operator, do you want to just advise everyone if there's anyone on the call who may want to take -- bring a question forward and I will start with the web one.
Operator: [Operator Instructions]. 
Rebecca Greco: Thank you. The first question, James, relates to the breast cancer cost saving analysis. They're asking whether we've included the cost of the Aristotle test in our analysis?
James R. Howard-Tripp: No, we haven't. And, so that was part of what I'm saying. 58% is obviously without that. The thing that we would have to discuss with that particular group would be do we screen all thousand patients or do we screen those that are not compliant with U.S. PSTF. That obviously will affect the cost analysis. We have running Aristotle through this and the cost savings are still even if we screened all thousand patients in it, the cost savings are still well above the double-digit numbers. So it works, it still works extremely well, but it's a good question. Okay.
Rebecca Greco: Also, we have a question about whether the entire firefighter population of Ontario is going through a process. Maybe you want to explain in a little bit more detail how it's segmented by municipality?
James R. Howard-Tripp: Yes. No, it's individual. It is individuals. So, maybe let's see if I can answer this differently. The firefighter community within North America, in fact is very cohesive. So you have the IAFF which is out of Washington, that's the major union. That covers Canada as well as the U.S. So clearly part of what you do is you work with them as well. So it goes from there and they will mandate certain things. They will never endorse a particular test. It's not their approach. They will endorse testing. They will provide guidance of what they think is good and what's not good, but their approach to life is not to endorse a particular company, which I think all of us would agree with. However, getting their backing is obviously important. So you have that at one level. Then you would come down to let's say the Canadian side and then you would have the province of Ontario. And bear in mind that this initiative was started within the provincial group, the health and safety group within the provincial group.  From there, it then breaks down into the individual municipalities. Municipalities or the individual firefighter halls invariably have some discretionary funding. They can pay, the union can kick into some of this as well. And so some of this they can do immediately. However, those typically tend to be sort of one off events. The way to make it multi-year is to actually take it in through the city budget process. And, these are a lot of the meetings that we've been doing with the individual groups, are continuing to do with the individual groups. And so it gets taken into the budget and it goes. That does mean to say that you don't start until you get absolute formal budget approval. In some, you will, in some of those the budgets are close in, in some they're a little further out. But there's also discretionary money at each of the individual fire halls that they can apply to start early. And then separate to that, obviously we have firefighters in the process that say, I'm not waiting for any of this, I want to start now. And so we are catering to them as well.  So it's a mix of all of that. I think an obvious question people would say, and let's just focus on Ontario because we have the numbers, if we have 11,000 professional firefighters full time, 19,000 volunteer will each and every one of those individuals get tested? The answer to that is probably not. It will, it's obviously up to the individual to take part. This is not mandatory. But we have typically seen a very high involvement. And if I take our U.S. experience right now, because in the U.S. it's essentially mandatory that they get screened yearly. We're seeing very, very high participation levels.
Rebecca Greco: Thanks, James. Another question is, how many Aristotle tests were sold in Q3, you can speak to that? And, what is the outstanding revenue on the test, we have not collected payment for, not sure if we're allowed to disclose that at this time?
James R. Howard-Tripp: So, correct. Correct on that one. Unfortunately, you'll have to wait until we report the quarters. We will try and put more color into this so that we can guide you better as we run it through. And we'll figure out how to explain it better and it may be in the EBITDA’s we run through, but we will come back to those. Aristotle test, we've actually made the call not to disclose that because it becomes a game of how many tests you've done. In fact, it isn't. The focus needs to be on revenue and that is because you'll never be able to come back and tie the number of tests to the absolute revenue because I think as we mentioned in this, sometimes we have to discount the test when we are doing pilots, when we're starting. It's that entire mix. And so there are different cost structures as we drive it through. So what's going to be much more important will be revenue and then obviously looking at profitability on that. We will make sure we absolutely report on that. Bear in mind that around Aristotle, in fact, around all of our programs we go, we're looking for a better than 50% gross margin. So typically we've run in the 50% to 70%. We will always try and do better than 50%.
Rebecca Greco: Thanks, James. That's the questions that we have and we're at about time already.
James R. Howard-Tripp: Okay. That's perfect. Thank you. Thanks everyone. Thanks for joining us. If you have questions outside of this, we'd be very happy to entertain them. Thanks again for joining us.
Operator: Thank you. This concludes today's conference call. We thank you for your participation. You may disconnect your lines at this time and have a great day.